Operator: Good afternoon. My name is Brianna and I will be your conference operator today. At this time, I would like to welcome everyone to the SkyWest Inc. First Quarter 2024 Results Call. [Operator Instructions] I would now like to turn the conference over to Rob Simmons, Chief Financial Officer. Please go ahead. 
Robert Simmons: Thanks, Brianna, and thanks, everyone, for joining us on the call today. As she indicated, this is Rob Simmons, SkyWest's Chief Financial Officer. On the call with me today are Chip Childs, President and Chief Executive Officer; Wade Steel, Chief Commercial Officer; and Eric Woodward, Chief Accounting Officer. I'd like to start today by asking Eric to read the safe harbor. Then I will turn the time over to Chip for some comments. Following Chip, I will take us through the financial results. Then Wade will discuss the fleet and related flying arrangements. Following Wade, we will have the customary Q&A session with our sell-side analysts. Eric? 
Eric Woodward: Today's discussion contains forward-looking statements that represent our current beliefs, expectations, and assumptions regarding future events and are subject to risks and uncertainties. We assume no obligation to update any forward-looking statement, whether as a result of new information, future events, or otherwise. Actual results will likely vary and may vary materially from those anticipated, estimated, or projected for a number of reasons. Some of the factors that may cause such differences are included in our 2023 Form 10-K and other reports and filings with the Securities and Exchange Commission. And now, I'll turn the call over to Chip. 
Russell A. Childs: Thank you, Rob and Eric. Good afternoon, everyone. Thank you for joining us on the call today. Today SkyWest reported net income of $60 million or $1.45 per diluted share for the first quarter of 2024. Our block hour production increase of 5% for the quarter compared to the same quarter last year is reflection on what our team can achieve with the recent improvements in captain availability. We also received 3 of the 20 United Finance ERJ-175 during the quarter. As announced last month, these aircraft are in addition to the 19 new aircraft we will begin receiving at the end of this year. In the first quarter, 88% of our block hour production was from our dual class aircraft, reflecting the value of our fleet flexibility provides for our partners. We're very pleased to continue enhancing our partnerships and increasing our regional market share. Overall, with our well-positioned fleet, the measurable improvements in staffing and our strong partnerships and demand, we remain optimistic about the year ahead and our outlook has slightly improved. I'm very proud to share that SkyWest was named one of America's greatest workplaces for diversity and America's greatest workplaces for women by Newsweek in 2024. SkyWest was the only regional airline company to be recognized on either list. We are proud of our unique model that enables us to work with and continue attracting the best people in the regional industry. We believe this unique collaborative approach not only benefits our people and our product, but it's also been a fundamental part of our success for over 52 years and will continue to help SkyWest lead the industry forward. During the first quarter, our team operated more flights than the same quarter last year and also improved our adjusted completion to 99.97% even through the challenging winter weather that showed up later than usual this season. I want to thank our nearly 14,000 people who work together each day to continue delivering a consistent, reliable, and exceptional product. During the quarter, our captain attrition continued to improve. The first quarter's attrition being about half what it was for the same quarter a year ago. We understand that some of this improvement is due to the unexpected pause in major fleet deliveries. And we remained disciplined in our staffing plans and growth strategies. We continue to see good first officer availability through our Pathway Program. And while we expect continued progress with our captain balance in 2024, it will be some time to fully restore our crew balance and production. Shifting gears, our minority stake in Contour, a small 135 operator, is working as planned to monetize our existing CRJ assets and to establish another pipeline for pilot supply. We continue to evaluate opportunities to smartly and accretively deploy our capital. SkyWest Charter or SWC has continued to successfully complete on-demand charter flying. We continue to believe SWC is the best possible answer for small community air service and have requested the Department of Transportation Act on our commuter authority application through federal court. Regardless of the status of our pending application for commuter authority at DOT, we are pleased with the strong demand for SWC's product and are very optimistic about its future. That said, it is and will remain a small portion of our overall business with our primary focus remaining on our contract flying and major partner relationships. As always, we remain disciplined to ensure our capital is deployed effectively and profitably. In summary, we are pleased that we are beginning to see the benefits of our long-term business and fleet strategies. We spent the last several years investing heavily in our fleet and in our people to ensure we are the best in the best possible situation to respond to market demands. Looking forward, we believe the following will continue to make us successful in the future. One, solid fleet positioning. Two, ongoing strong demand from our partners. Three, improving pilot availability. And four and most importantly, our ability to work with our people. These core elements of our business have us extremely well positioned in the industry for the future. Rob will now take us through the financial data. 
Robert Simmons: Today we reported a first quarter GAAP net income of $60 million or $1.45 earnings per share. Q1 pretax income was $80 million. Our weighted average share count for Q1 was 41.5 million and our effective tax rate was 24.8%.  First, let's talk about revenue. Total Q1 revenue of $804 million is up 7% sequentially from $752 million in Q4 2023 and up 16% from $692 million in Q1 2023. Q1 revenue breaks down with contract revenue up 10% from Q4 and up 15% from Q1 2023. Prorate and charter revenue was $101 million in Q1, down 9% from Q4 due to prorate seasonality and up 31% from Q1 2023 from higher demand and new charter operations. Leasing and other revenue was up by $2 million sequentially and down by $3 million year-over-year, reflecting volume fluctuations under our airport customer service contracts. These GAAP results include the effect of recognizing $1 million of previously deferred revenue this quarter compared to $63 million deferred in both Q4 and in Q1 2023. As of the end of Q1, we have $366 million of cumulative deferred revenue that will be recognized in future periods. As previously indicated, we expect to recognize previously deferred revenue of roughly $50 million in 2024. Let me move to the balance sheet. We ended the quarter with cash of $821 million, down $14 million from $835 million last quarter. The $14 million decrease in cash during the quarter included the accretive actions of repaying over $110 million in debt and buying back 136,000 shares of SkyWest stock in Q1 for $9 million at an average price of $64.21 per share. During the full year 2023 plus Q1 2024, we have repurchased 10.7 million shares or approximately 21% of the outstanding shares of the company for $298 million at an average price of $27.77 per share. Our CapEx during the first quarter was $38 million. We ended Q1 with debt of $2.9 billion, down from $3 billion as of year-end 2023. These cash-related numbers tell an important story about the quarter. But we continue to generate positive free cash flow from operations despite production constraints. Our strong free cash flow also benefits from a lower investment in CapEx than in prior years. Our balance sheet and solid liquidity continue to be powerful tools to create shareholder value. Tools that we expect will help us repay over $400 million in debt in 2024, allow us to take advantage of future growth opportunities and continue to execute on our share repurchase program. Consistent with our policy and practice, we are not giving any specific EPS guidance at this time. But let me give you a little color on 2024. From last quarter's color, we now expect 2024 to be even more profitable from higher expected production. This improvement versus our expectations a quarter ago is driven primarily by Q1's pilot attrition continuing to ease and the fact that we generated net new captains each month in Q1. As Wade will discuss in a minute, we now anticipate our 2024 block hours to be up 7% to 9% over 2023, up from the expectation of up 3% to 5% a quarter ago. Our expectation for a growth in block hours in 2024 is driven by improving pilot availability, increasing fleet utilization, and ongoing strong demand for our production from our partners. We anticipate our 2024 income tax rate will range between 25% and 27%. And we expect our 2024 GAAP EPS to now be in the high $6 area, better than last quarter's expectation for the year and above where we were pre-COVID, reflecting our stronger production outlook. Our solid balance sheet, reliable cash flow from operations and strong demand for our product provide a catalyst for improving our return on invested capital, including the following. As a result of repurchasing 10.7 million shares during 2023 and Q1 of 2024, we had 40.3 million shares outstanding as of March 31, 2024. As of March 31, we had $82 million remaining under our current share repurchase authorization. We anticipate continuing to be opportunistic in repurchasing shares going forward, although likely at a significantly slower cadence than in 2023. Over 2023, our balanced capital deployment included repaying over $400 million of debt. We are on track in 2024 to repay a similar number. Our debt net of cash and leverage ratios continue to be lower than our pre-pandemic levels of 2019. By the end of 2024, we are optimistic that both of these important metrics could be at their lowest point in over a decade. The ERJ fleet in place today, plus the remaining 2024 deliveries could be close to fully utilized by the end of the year. The underutilized CRJ fleet also represents meaningful possible future growth in block hours and economics. Wade will give more color around this in a minute. We continue to anticipate our total 2024 CapEx will be approximately $275 million to $325 million, including the purchase of 5 new E175s in 2024. Our 25% investment in Contour announced last quarter represents another important channel to deploy and monetize our excess CRJ200 aircraft and engines in underserved communities. We believe that our strong balance sheet and the actions that we've been taking to prepare the way for incremental utilization of our fleet to work through our captain shortage and to preserve the optionality of monetizing strong demand opportunities over time will position us well to drive total shareholder returns. Wade? 
Wade Steel: Thank you, Rob. During the quarter, we announced a new flying agreement for 20 United-owned E175 to replace 20 CRJ200s under our United contract. These aircrafts are coming from another United Express carrier. We anticipate that all 20 E175s will be transitioned to SkyWest during 2024. As of March 31, we had transitioned 3 of these aircraft. These 20 are in addition to the 21 E175s currently on order, 19 for United, 1 for Delta, and 1 for Alaska. We expect delivery of 5 in 2024, 8 in 2025, and 8 more in 2026. At the end of 2026, our E175 fleet total will be 278, continuing to solidify SkyWest as the largest Embraer operator in the world. With the addition of the large dual-class aircraft to our fleet, our regional market share has increased to 30% of the large dual-class aircraft from 23% in 2019. We are excited about our market share improvement. Let us shift to our CRJ700 fleet, which is a valuable asset and an ideal replacement for single class CRJ200s. The 19 CRJ700s expiring from our American contract this year will transition to become CRJ550s in our fleet. We anticipate the first CRJ550 to be flying for one of our major partners during the summer months. With each of the 19 new E175s we receive and finance for United, a CRJ700 contract expires simultaneously. By the time these contracts conclude, the debt on the 19 CRJ700s will be fully paid. We're actively working to place these aircrafts under flying agreements, recognizing their value to our partners as they focus on dual-class aircraft. These CRJ700s represent some of the newest next-gen models worldwide. Let me review our production. The first quarter completed block hours were down less than 1% compared to the fourth quarter of 2023. This reduction is primarily due to completion of the scheduled block hours since the first quarter had more weather cancellations than the fourth quarter of 2023. Based on current schedules we have for our major partners for Q2, we anticipate that our second quarter block hours will increase by approximately 6% compared to the first quarter. With regard to staffing, we have seen improving trends in our captain attrition and anticipate that our 2024 block hours will increase by 7% to 9% compared to 2023. I would also remind you that we can add approximately 10% more block hours to our ERJ fleet before adding any aircraft. We expect to be near full utilization on our E175 fleet, including the new United financed aircraft by year-end. This same number is over 30% for our CRJ fleet and makes each additional block hour accretive to the model. Our partners remain very engaged in supporting our efforts to restore production. I also want to review our plans to monetize our CRJ200 assets. We still own over 140 CRJ200 aircrafts. These aircrafts have very little book value and no debt. And we have approximately 5 million engine cycles remaining to monetize. Our first priority to monetize these assets is to fly them at SkyWest Airlines under contract with our partners or in our prorate business. Our next priority is to operate these aircraft at SkyWest Charter or SWC. We currently have 16 aircraft operating at SWC, flying on-demand charters while we wait for the DOT to approve our commuter application. Last quarter, we also announced that we acquired a 25% ownership stake in Contour. This arrangement also includes an asset provisioning agreement, under which SkyWest will provide CRJ airframes and engines to Contour. During the quarter, we sold 6 airframes and leased 10 engines to Contour. We continue to see very good demand for selling and leasing these assets. For example, we sold over $19 million of CRJ assets during 2023 and Q1 of 2024. Let me give a brief update about the status of SWC. We are pleased with SWC's progress. And the sports charter bookings for this winter were significantly higher than we originally anticipated. We did over $10 million in revenue during the quarter. And SWC contributed positively to Q1 earnings. This business is very seasonal. And we are looking at creative ways to deploy these assets in the spring and summer. As far as our prorate business, the demand remains extremely strong. Just like the rest of the industry, we are seeing very strong yields and great community support. We will continue to work with the communities we serve on the best way to continue our service. We feel good about our ongoing efforts to reduce risk and enhance fleet and financing flexibility and remain committed to continuing our work with each of our major partners to provide creative solutions to the continued exceptional demand for our products. 
Robert Simmons: Okay. Briana, we're ready for our Q&A now. 
Operator: [Operator Instructions] Your first question comes from Savi Syth with Raymond James. 
Savanthi Syth: I appreciate the color on the pilot, what you're seeing on the pilot side and utilization. I was curious on the kind of increasing the utilization of the CRJ fleet. Is that now the governor, the pilot -- the captain supply? Or is there kind of a question on demand for that kind of level of cost as well because some of those are CRJ700 and 900s, I'm guessing some are 200s. I was kind of curious as to what's going to be the governing factor to get that to full utilization. 
Wade Steel: Yes, Savi, this is Wade. So yes, as we talked about in the script, the pilot attrition is continuing to improve. The constraint to continue to get that back up to full utilization is still the captain issue that we have at SkyWest. But as we are continuing to work through that, the utilization is increasing. And we're seeing that every day that the CRJ utilization is increasing. Like you said, that fleet is based primarily of CRJ700s. We have a very large CRJ700 fleet and CRJ900s, our 200 fleet. We still operate over 80 of those. But yes, it will be a nice mix. And we're going to continue to see the utilization improvement there as the captain imbalance continues to get right. 
Russell A. Childs: Savi, this is Chip as well. I think the other part of your question is also demand. We do continue to see strong demand for all 3 of those products. So this is not something that we're measuring from a conservative perspective. The demand for those 3 is exceptionally strong.  And like Wade said, it's just a matter of getting the attrition continuing to improve to capture that demand in the future. 
Savanthi Syth: And if I might, just other commentary on the 19 CRJ700s that are coming off contract. Are there any others that are coming off contract this year or as we look to kind of next year that we should be mindful? 
Wade Steel: The 19 CRJ700s are the only ones that are coming off in 2024. There are some. We have contract expirations every year with all of our major partners. And we're always in constant dialogue with them about extensions and renewals and fleet replacements and all kinds of things like that. So there's additional. There's no -- there's nothing significant or unusual in the future years. But there's plenty of opportunities to renew and extend those contracts in the future. 
Operator: Your next question comes from Helane Becker with TD Cowen. 
Helane Becker: You mentioned a couple -- a few retirements that are coming and some aircraft coming out of scheduled service. Could you tell us -- I didn't see this in the press release, and normally you include it. Can you tell us how to think about the net change in the aircraft fleet like from 2024 through 2026 or '27, maybe '27 is too long? 
Wade Steel: Yes. So Helane, I'll give you a little bit of color on our fleet as we're going forward. Today, we have around 240 E175s in our fleet. By the end of 2026, we will have 278 of E175s in our fleet. So we have a lot of growth still ahead of us on our 175 fleet. We talked about the 20 that are United owned that are coming in 2024. And then we have some orders out there as well the 19 that will be coming in '24, '25, and '26. And so as far as the overall fleet, we anticipate that it will grow slightly. The CRJ fleet, as Chip said, is still in very high demand and still has some legs on it. And so, we are going to continue to operate the ERJ fleet and the CRJ fleet. And so there's great demand for both of those aircraft types with all of our major partners. 
Helane Becker: Okay. That's really helpful. And then just on the 2 different fleet types, I should know this and I apologize that I don't. How do you think about the pilots on those aircraft? Are they dedicated pilots moving through CRJs and ERJs? Or do you cross-train them? 
Russell A. Childs: So Helane, this is Chip. That's an excellent question. We do not cross train them. We keep the pilots separate based upon those 2 fleets. And there's interesting interest on why pilots want to fly one fleet over another. But ironically, the majority of that is based upon domicile. And so from our perspective, we've very much focused a bit on the utilization of the ERJ product over the past 3 or 4 years since the pandemic. And now that we have more captain availability, we'll start to bring these assets that are essentially paid for. And we've had for a bit back up to higher utilization, which is extremely accretive, but they're both fantastic aircrafts. We keep the pilot training separate for each one of those. Sometimes they fly from -- sometimes they will transition from one to another, but it requires a big training event. But we're able to manage through that. And we're very optimistic about what we have coming up through the pipeline to be able to fill the demand for both fleet types. 
Helane Becker: And if I could just sneak one more question in on pilots. I don't know who said or talked about the pilot training. Because of the pilot -- because the major airlines have cut back on hiring, right? You've seen that. Because of their issues, I didn't quite get the comment you made about pilot training going forward. Are you going to keep the classes large and just run excess pilots for when new -- those guys get back on track? Or are you going to kind of keep the pilot classes thinner, so you don't run excess pilots? 
Russell A. Childs: I would say, like we mentioned last quarter, we're a very long ways away from excess pilots, particularly given the demand. I think last quarter we gave a couple of numbers. Last quarter that we were 1,000 pilots short of what we were pre-pandemic. And given demand, we need another 1,000 pilots on top of that. So we're probably close to that even a quarter later. We're probably 1,900 pilots short. So look, we are going to -- ironically, our training programs have been very busy just with attrition and keeping up with attrition. Our training programs are going to be at least equally busy getting back to fulfilling the demand and getting the numbers back up. And we're mostly excited, honestly, Helane, about not only do we have this good opportunity to grow back to where we were and beyond. But we also have the discipline to do it the right way where we can take care of people in the process, make sure that we're not overworking the people that are #1 priority is safety. We can train the right way. We can take our time and be very disciplined in how we get back to full utilization and that's a big component about what our strategy is. But I think from the perspective of what you're trying to say is we're going to be largely full-bore as long as we're comfortable with it. And we're not going to keep the class sizes back. I think we've got a lot of demand we can still fill with pilots. 
Operator: Your next question comes from Mike Linenberg with Deutsche Bank. 
Michael Linenberg: With respect to your ERJ175s, if we think about where you are today and where you get out over the next few years, I guess, the 278 by 2026. We got to be at a point where we're starting to see that these airplanes are now at 12 years plus where they're fully paid off. Where are we today? And maybe none of them are fully paid off or if they are, they maybe have a small little debt. And as we move out over the next 3 years because there was a period where you did take a lot of airplanes. Like at what point if we go out to 2026 or 2027, we got to start, I'm sure, a meaningful part or a decent size of that fleet has to be fully paid off. Can you just -- can you talk about that as we think about long-term aircraft ownership costs? 
Wade Steel: Yes, Mike, this is Wade. So I'll take the first shot at this and then Rob can chime in if he would like as well. So our first aircraft that we took delivery of with in the 175s was in 2014. And as you said, most of those are all -- almost all of those are under a 12-year fully amortizing note.  And so our first aircraft starts to -- it will be paid off in 2026. And there's -- we took delivery of a lot of aircraft in a very small period of time in that period, right? We took 40 for United in a couple of year period. And so those first 40 airplanes will be paid off in '26 and '27. And we look forward to working with our partners to continue to fly those and operate those for a very long time. We still feel it's a very good asset out there and that we still will be operating, so. 
Robert Simmons: Yes. The only thing I would add, Mike, is that the way that this sort of reads through into our results is the cash flow characteristics of those planes as they become fully paid for the cash flow characteristics improve on those. And so, again, starting in 2026, we like how things are set up. 
Michael Linenberg: Yes. I just feel like there's an earnings and/or well, I guess, cash flow leverage element to the story that really could start to pick up because of how many airplanes you took early on. And for some of us, as we're now starting to model '26, we saw this a decade ago is getting to the promise land and it could be pretty significant. So I'm just thinking aloud here. Maybe I'm getting too excited. But my second question, what on -- on your prorate markets, what percent are EAS? And I'm just curious, are the economics -- I know the program has evolved and changed. Are the economics as good as they once were or maybe they're better? And the reason I'm asking is it is interesting that we're starting to see some of the bigger airlines with really big airplanes, like 150 or 160 seaters, 100 seaters, start to bid for EAS markets, which is just something I haven't seen before. And so I'm just curious about what's going on there. I mean maybe the economics are so much better that others want to get involved. 
Wade Steel: Yes, Mike, this is Wade. I'll just talk briefly about that. So of the percentage of prorate flying, probably about 75% to 80% of our prorate flying is in the essential air service programs, right? The SkyWest Airlines has been doing prorate essential air service flying for a long time. We feel like we are adding a great value to these communities, hooking or connecting them to the national transportation system, right? Is the goal to bring these communities to the hubs and get them there? And I think that's what the DOT really is striving for with this is to get connectivity. And I think we are very well suited for that in this. As far as the economics, they're very consistent with where they've been over time. So they're good. But I think SkyWest and SkyWest Charter are both position to connect small communities to the greater transportation system. 
Russell A. Childs: Yes, Mike, this is Chip. I would also add. I mean, when you talk and look at who's applying for EAS, we've done a lot of analysis and studies about this. And in all honesty, 2 years ago, when we were starting this SWC and charter operation, we looked at it and found even though that we have been flying 50-seat airplanes to a lot of essential air service cities we see today. There's tremendous value in 30 seats. There's obviously a subsidy involved. But cities, that are getting an airplane that has 150 seats is a little bit confusing on why that's essential air service. It seems like if they're filling it, that the demand ought to be able to fill that and maybe we evaluate some of these cities. But from our perspective, there's, a lot of cities in essential air service that works out very well for 30 seats. There's a lot of cities outside of essential air service that work for 30 seats as well that we look for state subsidies and local subsidies that are very interested as we get moving forward with this as well. So that's a little bit more perspective. 
Operator: Your next question comes from Duane Pfennigwerth with Evercore ISI. 
Duane Pfennigwerth: Can you touch on maintenance expense trends? How is that trending versus your expectations? And maybe just remind us; are there any timing differences between expenses you incur and how you're reimbursed for maintenance generally? 
Wade Steel: Yes. Duane, this is Wade. So our maintenance has become fairly predictable for a couple of reasons. #1 reason is the vast majority of our engines that we have. And that's our biggest expense in the maintenance world is under what you would call a power by the hour agreement. And that's based on utilization and that's very predictable. And so that's been very -- and that's consistent with our revenue models that we have with our major partners as well. And so, I think your question is there's some mismatch like we historically have had with engines. We got rid of that quite a while ago. And now almost all of our models are powered by the hour. And then as far as the next biggest line item on our maintenance world is heavy checks or the C checks. And right now, we have enough capacity to deal with everything we're doing and that's been predictable. We obviously would hope that our MROs could continue to improve in their staffing models and improve their turnaround times. But the maintenance world has become very predictable for us and it's good. And we've made very large investments in engines and airframes over the past 4 or 5 years. And we're starting to see a lot of benefits from that. 
Duane Pfennigwerth: That's very clear. And then just on the deferred revenue, the $1 million of previously deferred revenue that you recognized in the March quarter in the release, is that a net number? So is it -- is there kind of offsetting deferred revenue in that period? And can you just talk about your expectation for that recognition in the June quarter? 
Robert Simmons: Sure. Duane. Yes, the $1 million was revenue that had been previously deferred and was recognized. That $1 million is a little bit lower than we sort of indicated last quarter for Q1 just because we had a few changes to contracts. And we had a few and just the production going up sort of pushes some of that out. But we think that for the full year that we should recognize about $50 million of revenue that had been previously deferred. And again, as I said on my script, we have today, as of the end of March we have about $366 million of deferred revenue yet to be reversed over the years to come. 
Operator: Your next question comes as a follow-up from Savi Syth with Raymond James. 
Savanthi Syth: Question for Rob, actually and this is kind of following up on Duane's question. It does seem that the deferred revenue recognition for this year is a little bit on the low end of what you were thinking. And your earnings still go up, so that's kind of impressive in itself. I was just kind of curious what your thoughts are on, as you go to '25, '26, just how that recognition comes in or the reversal of that comes? 
Robert Simmons: Yes. Again, it's a little tough to dial that in too much at this point. It's going to depend on production levels. It will depend on what happens with some of these contracts if they're extended or whatever. So it's a little tough to know. But again, as we've said in the past, that $366 million that's sitting there on our balance sheet right now, that will likely take many years to fully reverse. So $50 million this year and then probably the cadence will depend on production beyond that. 
Savanthi Syth: But at least $50 million next year is a fair way to think about it? 
Robert Simmons: I mean, it could be. That's one of the possible sort of outcomes, again, depending on contracts and production. 
Operator: I'm seeing no further questions at this time. I will now turn the call back over to Chip Childs for any closing remarks. 
Russell A. Childs: Thank you, Brianna. And again, thank you all for your interest in SkyWest. We feel very fortunate to be in a position where we are at, where we have fantastic partners, fantastic shareholders as well as our -- we have the most professional best employees in the entire industry. I want to thank them personally for the work that they've done over the winter months and how well our operation has operated and it's a pleasure to represent them as well. And with that, we will conclude and talk to you next quarter. Thank you. 
Operator: This concludes today's conference. Thank you for your participation. You may now disconnect.